Johan Jacobsen: Good morning, ladies and gentlemen, and very welcome to the presentation of Bakkafrost Third Quarter 2020. First, we will go through the summary of the quarter, and then we will look into the markets on sales before we look into the segments and financials and ESG. And then finally, the outlook for the next quarter and the coming years. Bakkafrost harvested in the Faroe Islands, 11,135 tonnes in the third quarter compared with 12,938 last year. In Scotland, we harvested 10,476 tonnes in the quarter. The feed sales in the quarter were 39,869 tonnes compared with close to 34,000 last year. The raw material purchase in the quarter were 24,000 tonnes compared with close to 18,000 tonnes last year. The revenues for the group were DKK 1.123 billion compared with DKK 996 million last year. The operational EBIT for the group were DKK 103 million compared with DKK 303 million last year. The cash flow from operations were DKK 105 million compared with DKK 779 million last year. We had positive operational EBIT for the segments in the Faroes but negative for Scotland. If you look into the summary of the quarter, we see that the EBITDA increased -- decreased from DKK 373 million to DKK 188 million. We see that the segments year-on-year in Faroes on EBIT decreased from NOK 26.25 last year to NOK 15.24 this year, the combined EBIT in Faroe Islands. In Scotland, we had a negative EBIT margin of NOK 3.89 per kilo. The VAP segment went down from NOK 9.23 last year to NOK 5.87 this year. And the feed -- and the fishmeal, oil and feed segment decreased the margin from 19.5% to 14.4%. So all segments reduced their margin compared with last year. If we go into the market and sales, we see that the big change -- there are some big changes in the markets in this quarter, mainly that the Western European market increased their share up to 56% from 45% last year. In Scotland, the share is 92% and in Faroes, 56%. North America increased from 23% to 24%. The Scottish share is 7%. And Asia this year went down from Faroes from 24% to 9%. And in Eastern Europe, the share increased from 8% to 11%. We also had increases in the internal use of raw materials in the Faroe Islands from 29% up to 48%. And this year is mainly on contracts. When we look into the markets, we see that the year and also this quarter is very much impacted by the development of the COVID-19. We had the first wave in the first and second quarter, and then we have had the second wave in the third and fourth quarter, which has impacted the markets severely. The rest of the European market is the largest salmon market in the world. It has shown good development, but the prices are severely impacted. The North American market is very important of Bakkafrost. We have a high focus in the market. We have increased our sales to this market, and we have also strengthened our position in the market. The new factory is starting up these days with production. So that gives us a new flexibility, increased filleting capacity in the market, with delivery directly out to the stores with fresh products on a daily basis and also increased the product mix. And the development so far has given us very good feedback from the marketplace. So we see also an improved possibility with 2 region in the market, both the Scottish region and also the Faroes region in the market with daily deliveries of fresh, high-quality salmon. The Asian market is also important for us. We have seen that, especially during -- since June, July when Beijing was under lockdown, and it has never -- it did -- never came back. There have been -- the demand has been eradicated by the coronavirus and lockdown measures, but there is some -- there are some small signs that there are improvements. There are some new airlines starting up, direct routes to Beijing, and this could have a positive impact. So we hope to see some positive changes in that market. In Eastern Europe, Bakkafrost has again -- been made green to export to Russia, which we also see some impact in this quarter with increased sales. It has been an issue since February when we reopened by end of August. For Bakkafrost, it is important to have good flexibility in the marketplace. And contracts for the VAP for the next 12 months are already about 30% for the Faroese operation. And for the Scottish operation, we are at a contractor and a commitment level of around 22% -- 25%. It seems like we -- there are some new customers, but main is that existing customers are buying more than before. If you look at the global markets, we see a very negative trend during 2020. The prices have declined steadily. There was some positive indications by the end of the second quarter, which then came to an end when we saw the Beijing incident with the fish market there. And in the third quarter, there has been a steady downward trend on the salmon prices. So year-on-year, the prices went down from NOK 50.35 to NOK 48.43 in this quarter, around NOK 2. Quarter-on-quarter, we see a drop of around NOK 11 from NOK 59.36 to NOK 48.43 million. On top of that, we also have a -- as Bakkafrost doesn't have our operating currency in Norwegian kroner, we have a significant impact by the weak Norwegian kroner, which is still quite weak compared with a year ago. On the bottom of the chart, we see the development in prices and volumes. Despite volumes quite weak compared with some earlier years, there has been a negative trend in the prices. However, in some months, there have been some increases in the volumes, especially here in -- like last month, we have seen volumes coming into the markets that probably were not planned. So if you go to the development in -- on the supply side, we see that the overall global harvest increased in this quarter by 5%. The development overall in Europe was quite flat. There was -- there were some issues in Norway in biology. U.K. were also impacted, Scotland biological incidents. The supply side from Americas grew around 13%, mainly from Chile where they have had quite good development in the quarter with good fish and a low level of incidence in biological issues. If you look at the numbers from the different regions, we see that Norway, had an average weight of 4.1 kilo in the quarter compared with 4.2 last year. Feed sales in Norway were 4.7% up in the quarter versus last year. And on the biology side, there were more than normal harvest driven by requests from authorities to harvest fish because of disease and sea lice. There have been a number of reports about that. According to Kontali, more issues with productivity and biology this year, and 2020 is the worst year in the winter months ever in Norway. So that has had a negative impact on the supply side from Norway. In Scotland, the average weight of harvest in this quarter was 4.5 compared with 4.6 last year. The feed sales were flat. There were biology issue in the quarter with algae blooms, jellyfish and other biological issues in some areas, which had a negative impact on the supplies from Scotland. In the Faroes, the average size, in general, for Faroe Islands were 100 grams down to 5.2 compared with 5.3. However, Bakkafrost was at 5.4. Feed sales, 3% down in the quarter. Biology, slightly on the negative side. There were some issues. So the mortality is slightly higher this year than last year. The stocking this year of smolts in Faroes is quite strong, 5.7 million in total for Faroe Islands. And the average weight for the whole Faroe Islands in the quarter was 367 grams, which is significantly up from 266 last year. So that means that the biomass that has been stocked in the Faroe Islands this year is 150% up from last year. So it's a strong trend in Faroes, the smolts are getting larger. In Chile, we see a strong development with larger fish, and they have had less issues. So they have been performing very good on the harvested fish. But last -- during the last couple of quarters, the stocking has been quite low. That will impact the supply from next year. So if we go into the market side and look at the markets, we see that there is a 3.8% increase on the demand. And the difference between the total supply increase of around 5% and this 3.8% are some inventory movements, especially in Chile. The EU grew 7%. which is quite impressive, 20,000 tonnes more in the market. The U.S. market grew 10%. So those 2 combined are the largest salmon markets in the world, around 70% of the whole number. And they had the highest growth or some of the highest growth. We see especially that the Chinese market have been very negatively impacted in this quarter. And this is purely due to the krona development, 37% down in China and 6% down for ASEAN. When we look at the EU market, we see that the demand is driven by the retail. There seems to be a very big channel into the processors in EU, which has increased their production significantly. The U.K. demand is also picking very good, up. And we have a lot of new inquiries in Scotland, a very high interest for the products and also for the provenance and the values that we have in our production there. We also see there a high interest in e-commerce. We also see a new trend with fish vans, fish vans driving into areas with products. We also see boxes with fish to be delivered by mail, so that people can sign up to get regular deliveries. So there are new initiatives in the market. In the U.S., we see also very high growth. And in the U.S., we think that this has been very much push-driven growth because of markets which have closed in other areas. From sources about foodservice, the indications are that takeaway and delivery are expected to be here to stay, so that means that the market is changing a bit. Restaurants are working to make those experiences better. Menus are updating accordingly. And consumers are still concerned about the virus, which are keeping them away from traditional dine-in. We think, however, and these are also the indications that we see, that restaurants will be back. Restaurants will be back when the vaccine is out there and when people feel more safe. So there will be some recovery time. And until then, the growth will be muted. But when the market will be more confident in the new vaccines, we are sure that the market will be back. So it's a matter of time. And I think it might not be that long as we had good news yesterday. On the next page, there's an overview on the general outlook on the supply side. And this is an update from last quarter, some minor changes, not any dramatic change. We see that it's quite flat from the third quarter to the fourth quarter and also into the first quarter, and then the drop starts. There would be a negative slide on the supply side for the rest of 2021 where we will see, especially from Chile, that there will be a significant drop of supply, especially from May, June next year. And that will impact the global markets so that the total supply increase next year is expected to be only around 1%. But if we compare the first half of the year and the second half of the year, there's a big difference. Next year, Norway is 5% up from NOK 13.49 to NOK 14.30. And Chile is 10% down from 757,000 tonnes to 681,000 tonnes. So that means that Chile is something like 80,000 tonnes down in volume next year. Scotland is around flat, 1% up, Faroes slightly up, 4%, and others are increasing their supplies, especially Iceland. So the -- I believe that the market balance next year will be tight. Of course, the corona development is expected to have some impact, especially during this winter. But I think that we will see some changes from that side when we enter into 2021. Going into the segments, the farming side, in the Faroes Islands have harvested 11,135 tonnes this quarter, slightly -- 14% down from last year. The majority of the harvest is from the North, 48%; and the West are at 42%; and the South, 10% of that volume. Scotland, 10,476 tonnes. The average weight in the Faroe Islands came in at 5.35 compared with 5.5 last year; and Scotland, at 5.2. The transfer of smolts in the Faroes were 50% up from 2.4 million to 3.6 million; and Scotland, at 1.3 million. The average weight in the Faroes increased from 193 to 295 grams, significantly up. In Scotland, average weight are still at 93 grams. And the water temperatures in the Faroe Islands are unchanged. If we move to the next page, there's an overview of the revenue, on the EBIT. The operational margin in this quarter 18% compared with 33% last year. The operational EBIT dropped from DKK 231 million to DKK 97 million, from 33% to 18% and the revenue from DKK 693 million to DKK 530 million. So these are mainly driven by the top line where the prices on salmon were very much impacted by the corona development. On the next page, there is an overview of the operational EBIT per kilo. In the Faroe Islands, the pure margin on farming, and this is if everything was sold on spot, dropped from NOK 23.61 to NOK 12.43. But as we know, a share of our sales are on contracts, but that is in the VAP on this page. The Scottish operations came in with a negative EBIT at NOK 3.89 in this quarter. The average weight in the North was 5.1. Lamba Wick had 40% of the total harvest in the quarter. That is empty now. And that was also at 5.1 kilo. Hovsfjørður started harvest in that quarter and Hovsfjørður continues also in the fourth quarter and came in at 5.4 kilos. In the West, the whole volume in the quarter was at 5.6, 42% of the volume, and that was from Gulin. And Gulin was also emptied in the quarter. In the South, the whole volume came from Froðba, that was 10% of the total volume of Faroe Islands and the average weight was 5.6 kilos, and that continues also into the fourth quarter. Good development there. In Scotland, the harvest was 41% from the North and 59% from the South. Costs are slightly up in Scotland in this quarter, around GBP 0.4 and mainly due to biological issues. We had some challenges and had some mortality, which amounts to around NOK 6 per kilo in extra cost. If you look at the bright side, we see that in Scotland, TGC, the growth, improved 30% this quarter compared with last year, 30%. The TGC improved 30%. And the FCR, fee conversion rate, improved 8% compared with last year. So there are also good development. But the main driver for the negative growth are the mortality incident, which had a high impact on the cost and on mortality. Selling price is GBP 1 down per kilo from last year to this quarter -- from last -- the third quarter last year to this. The premium -- there's a premium on Scottish salmon, and our obtained premium in this quarter is NOK 5.3 per kilo. So it's a high quality, and they are doing a good job to get a premium and a good selling of the fish on the marketing. I think especially the values with provenance and the quality of the fish is appreciated in the market. If we move to the value-added products, we see in this quarter that this is a record high quantity for a third quarter, 5,313 tonnes. Never before have we delivered so much into the market. However, we have built some inventories, and this is due to contracts that are in place. So there are inventories built up in the VAP, which are sold in the fourth quarter. And that's also why, compared with the revenues, the operational EBIT margin is slightly lower because some of the revenues are still kept on stock. And as market prices dropped in the quarter, there's a negative impacted by that. The revenues increased from DKK 217 million to DKK 247 million. And the margin decreased from DKK 26 million to DKK 22 million compared with last year. The operational EBIT dropped from NOK 9.23 to NOK 5.87. And this share of VAP of the volume increased from 29% to 48% of the volume. Retailers have increased their space for consumer-packed goods in the shops. So we have better space to deliver our products into the market. Consumer-packed goods are seen as safe because you don't touch the product. And there are new ways of getting the products out to the consumer. There are new ideas, both in the retail segment but also -- and also in the retail -- also in the Horeca segment. The higher demand for VAP products that we see now is more than we have seen ever before. And the ability and flexibility to meet the need in the market for safe and healthy products has been vital for Bakkafrost during this pandemic, and we have never ever before produced this much quantity. If you look into the fishmeal, oil and feed. We see that Havsbrún for the first 9 months we received 211,400 tonnes of raw material compared with 243,000 tonnes the same period last year. In this quarter, the EBITDA margin dropped from DKK 94 million to DKK 69 million, and again, as in the VAP, we have also built inventories in Havsbrún. As we see on this page, the fishmeal sold externally in this quarter was only 2,700 tonnes compared with 10,200 last year, and that's mainly driven by an increased inventory because we kept more fishmeal internally. We had some fear that blue whiting could lose certification, so it was important for us to keep stocks to protect our internal production for next year. So we have more or less enough inventories for next year. The EBITDA margin, therefore, dropped from 19.5% to 14.4%. And the external fishmeal sold dropped from 10,200 to 2,700 tonnes. Raw materials sourced 17,845, up to 24,100 tonnes. The ICES recommendation for blue whiting for next year is 20% down to 960,000 tonnes compared with 1,162,000 tonnes this year. The coastal states agreed about the total quota but have yet not agreed about how they share the quota, which is critical to continue with certificate catches -- with certified catches. And based on this, Bakkafrost expects a decrease in production next year. Volumes of fishmeal and fish oil will, therefore, go slightly down compared with this year. On the next page, there is an overview on the feed market. In this quarter, our sales of feed increased up to 40,000 tonnes, close to 40,000 tonnes, compared with 34,000 last year, so 6,000 tonnes up. The external feed sales decreased from 7,700 to 5,500. So the increase is mainly based on internal sales. The Faroese segment internally used 28,300, which is around 71% of the sale. And in Scotland, we used 600 -- 6,000 tonnes from Havsbrún. So the combined internal sale was 86%. We see on this page also that the raw material prices have dropped, and the drop of raw material prices is positive because that means that we are needing to pay less for our raw material prices. And then Høgni Jakobsen, our CFO, will take us through the financials and ESG.
Høgni Jakobsen: Thank you, Regin. I'll go through the financials with you. Before I begin, just -- please be aware that the third quarter of 2019, which we do a comparison with, does not include numbers for Scotland as we did not have the numbers consolidated into our accounts until fourth quarter of last year. So if we start with the revenue for the entire group. We are up and our revenue amount to DKK 1.1 billion roughly for the entire group. If we then exclude the Scottish Salmon Company, in this quarter, we actually see that we are down by DKK 290 million on revenues as the Faroese part of the operation has a revenue of DKK 706 million. In regards to the operational EBIT, we are down from DKK 303 million in the third quarter of 2019 to DKK 103 million. In this quarter, again, if we exclude the Scottish Salmon Company, the revenue for the Faroese operation is 131 -- sorry, the operational EBIT is DKK 131 million in this quarter. Fair value adjustments are DKK 124 million. That is primarily due to a buildup in biomass over the quarter. We are around 9,000 tonnes up on biomass but also that we have larger fish, so the fish distribution of the sizes have skewed towards larger fish. Revenue tax has decreased. This is a result of the lower spot prices. So we've paid DKK 9 million in revenue tax and DKK 18 million in corporate tax. Profit after tax is DKK 177 million in this quarter compared to DKK 181 million in same quarter last year. And operational EBIT margin for the group is 9.1%. And for the fourth segment, it is 14.4%. If we then take a look at how the operational EBIT has evolved over the past quarters, we see that this year is different from the previous years. So we are significantly lower year-to-date on our operational EBIT, which amounts to DKK 533 million so far. And this is a clear effect of the COVID situation. Moving on to the balance sheet. Our balance sheet is still strong. Our intangible assets amount to roughly DKK 4.5 billion. Our property, plant and equipment amount to slightly less of DKK 4 billion. And our biological assets amount to DKK 2.15 billion, roughly speaking. A slight increase in inventories during this quarter by DKK 65 million. So inventories are now at DKK 614 million. Receivables are reduced to DKK 525 million in this quarter. We have cash and cash equivalents amounting to DKK 446 million. Equity is DKK 8.8 billion and equity -- our equity ratio is unchanged at 68%. If we then look at the cash flow during this quarter, we have a positive cash flow of DKK 105 million from operations. We have a cash flow from investments amounting to minus DKK 176 million. I can add to that, that we have also capital commitments in this quarter, amounting to DKK 876 million primarily due to our investments in hatcheries, both herein the Faroese and also in Scotland and also the new well boat that we commissioned earlier this year. Cash flow from financing was positive with DKK 63 million. And when we compare these numbers to -- especially on the cash flow from financing with the last quarter, it's important to have in mind that we increased our -- or we issued new shares last year prior to the acquisition of the Scottish Salmon Company, so that also skews the numbers here. Our net interest-bearing debt at the beginning of this quarter was DKK 1.160 billion. And by the end of this quarter, it slightly increased and now amounts to DKK 1.257 billion. And that's -- it's primarily the net investments amounting to DKK 176 million that makes up for the difference. Financing, by the end of this quarter, we had a net interest-bearing debt of DKK 1.257 billion. Our bank facilities are still unchanged. So we have a total -- we had a total of EUR 352 million, plus GBP 100 million in financing and also an accordion option of EUR 150 million available if we want to, to utilize that. Undrawn credit facilities amounted to roughly DKK 2 billion by the end of this quarter. Then moving on to a short ESG update. Within our Healthy Living Plan, we have these 5 pillars: our healthy business, our healthy salmon, healthy communities, healthy people and healthy environment. And we have made progress against all of these pillars in this quarter. So we -- in this quarter, we have signed up for the UN Sustainable Ocean Principles. And we've also completed our first CDP submission. In the healthy community pillar, we have worked with the local community. In the Faroe Islands, it's a small country with only 50,000 people living, but we have our own language. But being a small country with its own language means that educational material can be an issue to have in the local language. So what we have done in this quarter is that we have sponsored the development on -- of educational material for elementary school about sustainable food systems written in Faroese. So that's why we are very pleased to have initiated that piece of work so that the young children in the Faroes also can have material available in Faroese on the sustainable food systems. In our healthy people pillar, of course, COVID-19 has been a very significant part of our efforts in this quarter. We have continued with the screening for COVID amongst our employees, and we have done around 6,000 tests so far. In addition to that, we have all kinds of other measures in order to protect our employees. And we are very pleased to see that they have been working. Our measures have been successful. So so far, since the outbreak of COVID early this year, we only have 5 confirmed cases in the entire group across the Faroe Islands, Scotland, the U.S. and the U.K. And then our healthy salmon, we have set ourselves an ambitious target to be 100% ASC certified in the Faroe Islands in 2020. And this is something we have made progress against also in this quarter. Actually, we have made really good progress on this front. And last night, we got the very exciting news that our last site in the Faroes has been ASC certified, which means now that our -- all our salmon raised sustainably here in the Faroe Islands is 100% ASC certified. Now this is a result of 7 years of hard work, which Regin will tell you more about.
Johan Jacobsen: Thank you very much, Høgni. And as Høgni said, we are delighted that we have achieved a 100% ASC certification of all Bakkafrost sites in the Faroe Islands. And in 2013, we set this goal. That time, it was very difficult to see how we could achieve it because it's quite ambitious, and it's the highest industry standards that we find on salmon farming to preserve the natural environment, biodiversity, water resources and to provide good working conditions for the employees. So this means that we have to farm our salmon in respect of our environment. And it has required a lot of changes, a lot of ambitious goals and, most importantly, ambitious and highly committed employees, which have been the key to have this success. If we look at the outlook for the market in general and for Bakkafrost, we see that on the supply side, there will be around 5% increase in the supplies in this quarter, in the fourth quarter '20. But for next year, the supply increase will be 1%, higher in the first half of the year and lower in the second half of the year. That's very tight. And I think especially the news yesterday where it appears that a new vaccine is about to be ready, it's very good news. And hopefully, that will have a good impact on all our lives and also that we can share good food, and we can hopefully get a new normal, which is more easy for everyone. On the farming side, we expect this year to harvest 50,000 tonnes, and we expect to reach that; and in Scotland, 39,000 tonnes. For next year, we increased our harvest in the Faroe Islands to 62,500 tonnes and in Scotland to 44,000 tonnes. And this is mainly based in the Faroe Islands on the larger smolts that we now see the result of, both in the biology but also, next year, in harvest. And according to our plan, that development will continue also into 2022 and onwards. In the Faroe Islands, we expect to release around 15 million smolts this year and around 14.5 million next year. And the development with increase of sizes will also continue. So we expect to reach around 400 gram next year and then 500 gram in the year after. In Scotland, we expect to release 10.7 million this year and 11 million next year. Unfortunately, the sizes in Scotland are still small. We are about to start new building programs, and that will have a positive impact in our operations but not in 2021, hopefully, slightly by end of '22, but more realistically in 2023 and onwards. On the contract side, we have already made contracts for next year in the Faroe Islands, around 33% of expected harvest volumes and in Scotland around, 25%. Our strategy is to allocate around 40% of expected harvest volumes at commitments and contracts at any time. Feed sales are expected to be around 110,000 tonnes this year and slightly up next year, maybe 120,000 tonnes. Fishmeal and oil volumes are expected to be lower than this year also, '19. So going forward, we have a lot of things in pipeline, investments in the Faroe Islands, as Høgni mentioned, with investments in hatcheries. We have just started investment in Norðtoftir and Glyvradalur. So those 2 are now under construction. And we'll start to deliver larger smolt already in the first half of 2022. We are also, in Scotland, starting -- about to start a new site construction. So that means that for the next 3 years, we expect to invest quite much. Of course, depending on the development with COVID and the earnings, we still have the flexibility to postpone investments if that situation should be realistic. But hopefully, with the new development of the vaccine, we can overcome our plan. And as you know, we will have a Capital Markets Day in June, the 15th of June, so you're mostly welcome to participate there where we can go in more details. Thank you very much. And if there are any questions, feel free to speak out.
Q - Alex Aukner: It's Alex Aukner from DNB. You're right, you have exceptionally high quality of your harvested fish in Q3. Can you go into the reasons why this is exceptionally high? Is it sustainable? Is it from the new smolts, et cetera?
Johan Jacobsen: Yes, our superior -- share of superior is higher than before. So that's the reason why we use that word. We have more -- a higher superior share than we normally have had in the third quarter. Third quarter are often difficult. But the number of complaints from customers have been down and the number of the share of superior has increased. I guess that the smolt development has not given full impact yet because last year, the average weight of smolt was much lower than this year. So that development will continue. It's also a matter of which sites you are harvesting from. And there are many, it could also be good management from our farmers. Our feed, of course, is very important, but the processing is -- there are a lot of drivers why quality is slightly down or slightly up. Of course, we hope to learn from what we have done. So there's always a learning process, and we hope that this will remain.
Carl-Emil Johannessen: Carl-Emil Johannessen from Pareto. Can you say something more behind what's the reason for the extraordinary high mortality in U.K. and how this has developed into Q4?
Johan Jacobsen: Yes. Thank you, Carl-Emil. In Scotland, we had some extraordinary mortalities in the third quarter. They were mainly driven by -- in Scotland, the fish is standing very long time in the sea. And when the fish is about 2 years old, they are, in general, weaker in biology if they have been handled many times. And in Scotland, they have to treat the fish for sea lice from time to time. And when the fish has stayed this long time in the sea and you have some issues, there have been issues with AGD, the gill health of the fish. And then when you have some issues with -- there was -- especially in August, there was some heavy rainfalls in some of the locks. And these heavy rainfalls combined with AGD gave a bad circumstance in the pens, which caused high mortality in 3 farming sites. And this has -- this is the driver for the NOK 41 million loss that we had, amounted to around NOK 6 per kilo.
Carl-Emil Johannessen: And what can you say about the current situation? Has it improved? Does it normally does in winter?
Johan Jacobsen: These sites were emptied in the fourth quarter. So there will be some impact in the fourth quarter as well. But the loss itself was taken in the quarter, but the higher cost on biomass will somewhat also have some impact on the fourth quarter.
Ola Trovatn: Ola Trovatn from Carnegie. Two questions from me. First, you have a quite high contract share for both Q4 and 2021. Could you share something about the discussions with your partners on contracts, how prices have developed? And also, the second question goes with regards to Scotland and the depreciation in the quarter. Is there some changes to the methodology? Or is it just -- what should we read out of the low depreciation in this quarter?
Johan Jacobsen: So on the depreciation side, there are no changes whatsoever in our principles. Can you repeat the first question you had?
Ola Trovatn: Yes. The first question was regarding contract, both volumes and prices.
Johan Jacobsen: Yes. So on the contract side, when there are changes, it's always difficult to look into the future and especially in the salmon market, which is quite volatile. Our strategy is that we want to have around 40% committed to long-term customers. So the way we do is normally that we try to do a regular contract sale on forward prices. Of course, at the moment, there seems to be a very, very high need for consumer-packed goods. And that is probably why it has been possible also to make new contracts also despite the difficulties in predicting how the market will flow. Of course, we also see from time to time that we have bigger losses, sometimes we have bigger gains. But it's important for us to have a share of our sales into this segment. And as you know, the prices for next year are slightly down from this year. And then there is also some negative currency on the market so that the price in Norwegian kroner and the price in euros are not exactly the same. So that's also -- that needs also to be taken into account how we do our contracts. But in general, I will say that there is a high demand and high interest for the products. Is that okay, Lars?
Ola Trovatn: Yes.
Kolbjørn Giskeødegård: Giskeødegård, Nordea. So I have a clarification question regarding VAP and FOF, why you said that you've had some inventory movement? Does that mean that all else equal, we should see somewhat higher margins for Q4 when you release the volumes? Or do I misunderstand you then?
Johan Jacobsen: Yes, Q4 is not finished yet. But I guess that you are right in the assumption that as the volumes in our inventories by the end of the quarter are higher than the beginning of the quarter, we saw that there was also a higher value. But actually, the cost price is also down on the inventories. So that should have a pose to impact, yes.
Martin Kaland: Martin Kaland. You expect quite strong volume growth at the Faroes for next year. But looking further ahead, it looks like the planned smolt release for 2021 is somewhat lower than what you planned or outlined at the Capital Markets Day last year. But then on the other hand, could the lower number of smolt be fully offset by improved weights on the smolt? Or are you slightly behind on that growth schedule or plan for the Faroes?
Johan Jacobsen: Yes, that's a good point. And you have looked quite closely back to our 2019 presentation at the Capital Market Day. And you are right that we are slightly behind the plan that we did in 2018. We are slightly behind because the opening of the Strond facility was delayed, so we are slightly behind. But when we look at our target for 2023, which was 76,000, I think I still think we can reach that target despite we are slightly behind because as we are increasing our smolt weight, up to 400 gram next year, the turnaround or the cycle time will reduce down to 10 to 12 months. So I think we are still good on track to reach the target. And hopefully, we -- also with the new investments in Glyvradalur and Norðtoftir, which are not -- in those sites, we already have the growth capacity up to 200 gram. So therefore, these new investments will have faster impact on the total volume than Strond had because Strond was up totally new and from zero, from scratch site. Anyone else? No? Thank you very much for your attention this morning.